Operator: Today and welcome to SG Blocks Second Quarter 2021 Earnings Conference Call and Webcast. Today's conference call is being recorded. At this time, I would like to turn the call over to Stephen Swett of investor relations. Thank you, you may begin.
Stephen Swett: Good afternoon. Thank you all for joining us for our second quarter 2021 earnings call. With me today are Paul Galvin, Chairman and Chief Executive Officer and Gerald shear and Acting Chief Financial Officer of SG Blocks. The press release detailing our results was issued this afternoon just after the market closed, and it's available on the company's website @www.sg blocks.com. Before I turn the call over to Paul, please remember that certain statements made during this presentation are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts contained in this presentation, including statements regarding the company's future operations and financial position, business strategy and plans and objectives as management for future operations are forward-looking statements. In some cases, forward looking statements can be identified by terminology such as believes, may, estimates, continue anticipates, intends, should, plan, expects, predict, potential or the negative of these terms or other similar expressions. We have based these forward-looking statements largely on our current expectations and projections about future events, and financial trends that we believe may affect our financial conditions, result of operations, business strategy and financial needs. These forward-looking statements are subject to a number of risks and uncertainties and assumptions described, including those set forth in our filings with the SEC, which are available on our website @www.sg blocks.com. You should not rely upon forward-looking statements as predictions of future events. We cannot assure you that the events and circumstances reflected in the forward-looking statements will be achieved or occur. Finally, this conference call is being webcast. Webcast is available in the investor relations section of our website. Now I'll turn the call over to Paul.
Paul Galvin: Thank you, Steve. SG Blocks achieved yet another record quarter in revenue building upon our record first quarter and setting us up for future growth. Our residential vertical, which we formed in February of this year, is already engaged in five products to produce a total of up to 1,752 much needed housing units. We have continued to build out our manufacturing capacity to meet the substantial demand these internally owned projects will generate and in our medical testing and services vertical we completed three deployments in the second quarter and continue to explore ways to leverage our rapidly deployable modular laboratories to serve health needs as COVID remains a lingering presence. These activities contributed to a record $11.9 million in revenue for the quarter and $21 million year-to-date. We expect the company to achieve cashflow positive in the fourth quarter of this year. This year has been a transformative one for our organization. We have the momentum, capital and the team in place to sustain and build upon these achievements, and we believe our unique multi-vertical platform will create significant value for our shareholders. We thank our staff, consultants, attorneys, partners and board for the focused effort. Let me now discuss our recent activity in each verticals, medical testing and services. In our medical testing and services vertical, we completed three new COVID testing site deployments in the second quarter. In May, we partnered with Stone Clinical Laboratories to bring COVID testing to Miami South Beach, first as a part of the Food Network's Annual Wine and Food Festival and then as a part of the Air and Sea Show and Music Explosion event. Also in May, we again partnered with the National Pain Centers to provide a COVID testing unit to the Robbins Park District the Robbins Illinois, bringing testing access to the communities of the South suburbs of Chicago. Now, with the rise of the COVID Delta variant, we are exploring additional ways to provide our innovative structure, labs and testing capabilities, deployable at key locations for much needed point-of-care access to healthcare. Our iconic detect lab has proven to be highly functional and deployable as a cost effective solution to solve local health needs. For the second quarter, our medical testing and services revenue totaled $9.8 million. While our focus for the past year has been on providing COVID testing our goals in the medical vertical extend much further. Our intention is to deploy a fleet of medical and testing treatment modules offering array of best-in-class diagnostic testing, and healthcare delivery for cancer, diabetes, STDs, UTIs, and drug testing, to name a few. It is our total belief that the future of healthcare solutions is local, nimble and point of care-based, and SG Blocks modular solutions are ideally suited to those characteristics. We are currently exploring multiple sites for our future deployments. Manufacturing, in our manufacturing vertical, we continue to build out our factory capacity to achieve our goal of no less than 15% margin on future manufacturing projects. We are currently analyzing multiple facilities and structures to expand our much needed manufacturing capacity, so that we can meet the needs of both our internal development projects and the high end commercial contracts we execute. Our manufacturing revenue totaled $2.1 million for the second quarter. Going forward, we expect to grow our manufacturing revenues as we commence additional projects from our residential vertical, where we'll be responsible for fabricating and shipment of apartment units. As of quarter end, we were under contract for 14 manufacturing projects representing $21 million in potential revenues over the course of two years. We continue to do the challenging work of delivering the legacy projects inherited from our acquisition late last year. These projects have been impacted by multiple COVID outbreaks in our facility, as well as throughout the supply chain. These legacy projects were wood [ph] modular and as such were negatively impacted by the spiking lumber prices. We are happy to report that our recent announcement regarding our ATCO project will be the first of many projects generated by SG Blocks to go through the factory. We anticipate SG ECHO to be cashflow breakeven in Q1 2022. Residential, now turning to our residential and development activities, in the second quarter, we rapidly scaled our subsidiary SGD Dev Corp., adding three new projects in the quarter, as well as a groundbreaking 187 unit townhouse community known as Monticello Mews. SG Dev Corp. is the driving force for our company to control its destiny, one, keeping our manufacturing facility near 100% capacity, providing steady and visible flow of manufacturing income. Two, driving project fees. Three, providing the opportunity to earn end to end project revenue. And four providing potential profit sharing from asset sales and lease income. In May, we completed the acquisition of a 50 plus acre land site on Lake Travis in Austin for $3.5 million for the development of our previously announced Lago Vista project. Lago Vista will contain up to 225 condominium units, as well as amenities including a community center, marina and health club. We expect to begin development in the second quarter of 2022, with an anticipated completion date in the fourth quarter of 2023. Units will be constructed at SG Block Factory. Our goal is to capture approximately $25 million in manufacturing revenue over the life of this project, and at least $5 million from our ownership interest. After quarter end in July, we issued a real estate lien note on the Lago Vista property in order to return capital after our opportunistic investment. We will continue to explore similar financing arrangements that allow us to most accretive deploy our capital into projects while still maintaining low leverage. In June, we acquired a 50% membership interest in Norman Berry Village to develop and build 138 units, 125,000 square foot, affordable housing community in East Point Georgia near Atlanta. Our committed capital contribution for this project is $600,000. SG Blocks has the contractual right for all of the modular construction in this project, which we anticipate to be in the $15 million to $20 million range. We will also participate in project development fees and asset ownership. In June, the groundbreaking occurred on Monticello Mews, the townhouse development located in the Catskills. The project will consist of 187 townhomes along with amenities, including a club house, gym and outdoor green spaces. The anticipated completion date for Phase 1 is Q4 2021. We anticipate the project to be fully completed during Q2 2023. SG Blocks has $700,000 of invested capital in this project. Note, this project was previously subject to our licensing agreement. Our largest project to date was announced in June. We acquired a non-dilutable 10% interest in JDI-Cumberland Inlet, LLC, a development venture in St. Marys, Georgia for a total investment of $3 million. The Cumberland site is enormous, sitting on 12,086 acres. Its yield will include 12 180 residential units, an eco-tourism program, education facilities, as well as a host of other amenities to create a vital community. We will be producing the housing units at SG Blocks factories with gross potential manufacturing revenues totaling $180 million over the life of the project. The development is expected to commence site work fourth quarter 2021 with initial deliveries expected in the third quarter 2022. One of the key attractions of the Cumberland Project is the array of public and private monies available to revitalize communities. It was an incredibly active quarter, and we are pulling all levers to drive value creation while remaining good stewards of capital. I'll now turn the call over to Gerald.
Gerald Sheeran: Thank you. Turning to the financials, beginning with the income statement. Revenue for the second quarter 2021 was approximately $11.9 million compared to approximately $630,000 for the second quarter of 2020. Gross profits for the second quarter of 2021 was approximately $2.8 million compared to a gross profit of approximately $370,000. The second quarter of 2020. Operating expenses for the second quarter of 2021 were approximately $2.8 million compared to approximately $1.2 million in the second quarter 2020. Included in the second quarter of 2021 ARE onetime startup costs associated with the multiple closings as well as increased G&A costs related to the hiring of the talent needed to execute our robust backlog and pipeline. For the second quarter 2021 net loss attributed to common shareholders was approximately $1.5 million or negative $0.17 per share, compared to a net loss of approximately $840,000 or negative $0.16 per share in the second quarter of 2020. The net loss attributed to common shareholders for the second quarter of 2021 included the following items. Approximately 465,000 non cash, depreciation and amortization expense, noncash stock compensation expense and litigation expense expenses as explained in the adjusted EBITDA loss. Adjusted EBITDA loss for the second quarter 2021 was approximately $1.1 million compared to a loss of $530,000 in the second quarter of 2020. Turning to the balance sheet at June 30, 2021 the company has total assets of approximately $25.5 million compared to approximately $22.2 million at June 30, 2020. The company had cash and cash equivalents of approximately $2.3 million as of June 30, 2021, compared to approximately $10.5 million at March 31, 2021. The reduction in cash is due to investment in development projects totaling $3.35 million and the acquisition of the development land of $3.5 million in the second quarter of 2021. Strong liquidity with cash and accounts receivables due in less than 30 days at $6.3 million in cash as of 8/13/2021. At this time, we have a strong and flexible capital structure. And we believe we are capitalized to support our near term working capital requirements. Now I'll turn the call back to Paul.
Paul Galvin: Thank you, Gerald. In summary, the first half of the year was epic, with year-over-year Q2 revenue exploding from $630,000 in 2020 to $11.9 million. The same can be said for the first half of 2021, which produced $21 million in revenue, compared to approximately $830,000 in the first half of last year. This increase in revenue has been achieved despite significant and pervasive obstacles that included but are not limited to significant supply chain interruptions, multiple factory outbreaks of COVID, significant inflation costs, and most importantly, delays on our customer side. We spent a good part of the last year helping our commercial clients to advance their projects despite and challenging macro environment. We are happy to report that these projects remain largely intact and preparing for design and delivery. Many of our commercial clients require us to adhere to NDAs pertaining to their individual product, or projects. Our current pipeline contains material opportunities in the hospitality space, food and beverage, specialty residential units, and various infrastructure applications. At this time, our pipeline, including SG Dev Corp, sits at approximately $225 million to $250 million. As of June 30, 2021, year-over-year revenue increased 34x. To continue this momentum, we plan to implement the following strategies. Continued expansion in medical testing through the deployment of additional detect units; populating factories with projects that produce no less than a 15% margin; strategically participate in real property development to secure manufacturing work, and the upside of asset sales; execute and expand our boutique commercial clients and their aspirations for national rollout programs; participate in the infrastructure movement, as a supplier, developer, or co-developer; provide product lease financing for our blue chip clients who are looking to maximize their internal returns. In addition to the significant increase in revenue, and our pipeline, we are happy to report an influx of new and talented people and groups interested in collaborating with our platform. These folks bring a wealth of experience and contacts that will help lead SGX Blocks to new heights. This completes our prepared remarks. We will now open the call to your questions. Operator.
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Edward Skin with Collective Subconscious Productions [ph]. Please proceed with your question.
Unidentified Analyst: Hey, how's it going team. Thank you for a great quarter in the building. I was wondering on at what point we would learn any insight on infrastructure and the President's promise for an EV charging station every rest area.
Paul Galvin: So just by the nature of our product, and because of the broad applications, we have a very strong interest in infrastructure in general, and are spending a lot of time researching opportunities. One of the interesting things about how it's been defined broadly out of Washington infrastructure can be quite creative. We use tool and we think we have opportunities to apply our product to people that are in that space, whether it's EV charging or other kinds of infrastructure uses. But we also see ourselves as potentially developing real estate related to infrastructure, for a variety of potential applications inside a broadly defined infrastructure program. So we're pleased to see where that's headed and it has our attention.
Operator: Thank you. [Operator Instructions] This concludes our Q&A session. I would like to turn it back to management for closing comments.
Paul Galvin: Sure. I'd like to close with some thoughts on how we got here. These new projects, products and companies started approximately nine months ago, when we deployed a detect CLIA Lab at LAX airport. We then acquired our first factory. We then formed a development company and proceeded to close in the past 90 days, 55 acres in Austin, 1,300 plus acres in Cumberland, 7 acres in Atlanta, and had a groundbreaking in the Catskills at Monticello Mews. We are truly at the beginning. Our own projects have not entered the factories. When they do we will be able to scale very quickly. We have sufficient capital for execution. Our only debt is secured by our Austin property. We have under 9 million shares on a fully diluted basis. It is our plan to attract long term investors who can see how we are poised for growth, and that our management team has proven adept despite the many obstacles in the macro environment. We want to thank everybody for listening today. And we look forward to speaking with you again next quarter.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.